Operator: Please standby, the program is about to begin. [Operator Instructions] Good day and thank you for standing by. Welcome to the Bally's Corporation Fourth Quarter 2021 Year-End Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers ' presentation, there will be a question-and-answer period. [Operator Instructions] Please be advised that today's conference call is being recorded. [Operator Instructions] I'd now like to turn the call over to Bobby Lavan, Senior Vice President of Finance and Investor Relations at Bally's. Please go ahead, sir.
Bobby Lavan: Morning, everyone, and thank you for joining us on today's call. The earnings release and presentation that accompany this call are available in the Investor Relations section of our website. With me on today's call are Lee Fenton, Chief Executive Officer, George Papanier, President Retail, Robeson Reeves, President Interactive and Steve Capp, Chief Financial Officer. Before we begin, we'd like to remind everyone that comments made by management today will contain forward-looking statements. These forward-looking statements include plans, expectations, estimates, and projections that involve significant risks and uncertainties. These risks are discussed in the Company's earnings release and SEC filings. Actual results may differ materially from the results discussed in these forward-looking statements.  In addition, during today's call, management will refer to certain non-GAAP financial measures. Reconciliations to the most comparable GAAP financial measures are included in the schedules contained in our earnings release and presentation. We do not provide reconciliation of forward-looking non-GAAP financial measures due to our inability to project special charges within certain expenses. Today's call is also being broadcast live on our Investor Relations site, and will be available for replay shortly after the completion of this call. Now let me hand it over to Lee.
Lee Fenton: Thank you, Bobby, and hello everyone. With our first full quarter together as an [Indiscernible] Bally's, I'm extremely excited about the potential across our business for 2022 and beyond. We closed Gamesys, the largest of our acquisitions to date, on October 1 of last year. And we've made significant progress on integration to this point. Let me give you just a few highlights. We prepared and got approved and consolidated [Indiscernible] budget based on a clear set of strategic goals for 2022. In the next week, we will unveil our perks in Bally's to our global employee base, which will be at the heart of how we grow our business over the coming years. We have started to see the first fruits of our omnichannel vision, with the launch of Bally iCasino in New Jersey, a data project, which will be a key enabler to allow us to further optimize our business performance into well underway. We are on track with our roll-out of Bally Bet 2.0. We continue to build proper funnel awareness, grow our customer datasets, and see increasing engagement on our free-to-play products. We have rationalized the games that public cost spend, to the tune of approximately $5 million. We launched the Bally foundation in the UK, to improve global employee buy-in and global awareness. We will launch the same in the U.S. in the next few months. And as we continue to drill down into the business, we are finding best practices among the team, which will drive efficiencies for us in the longer-term. Bringing together a wide ray of assets with geographically dispersed teams and a number of business lines is not without complexity.  So I'd like to give my halt out, thanks to all of the Bally's team for the passion with which they have approached all of the integration work streams. As we've stated before, we were a unique combination with equal revenues coming from U.S. retail casinos and a global digital business. We believe in customer centricity driven by great service, great data, and great analytics. We did not mean to be first to market with an inferior product, customers will always have choices and your first impression is more important than timing of launch. We will launch when the product is right and we're willing to match short-term gains to build long-term trust and value with our customers. With the continued irrational spending on full setting, we have concentrated our North American interactive focus on building full betting products that is U.S.- centric and easy-to-use for the mass market. We will begin to market [Indiscernible] 2.0 product in Arizona and New York in the first half of 2021.  We've also accelerated our efforts to go live in Ontario with regulated iGaming, and we expect to launch there in the summer, and we'll add additional state launches through the second half of the year. Bally iCasino launched in New Jersey in December, and I'm very pleased with the early results. As you know, one of the core plans for the rationale in bringing together Bally's and Gamesys was to enable a lower cost of acquisition into digital products. We've seen very positive early momentum through our cross-sell campaign from the AC database into iCasino, with signups above our expectations across the board, that actually delivering double-digit database conversion in the higher of value segment. The cross-sell campaign has enabled our blended CPA to come in under $200 and has brought in customers with predicted LTV [Indiscernible] 2x compared to what we've seen on our Virgin iCasino brand in the same state.  We plan to increase our cross-sell campaigns further in Q1 2022. Naturally, we'll also evolve this proposition as we go forward. And that was illustrated with the addition of live casino to the product on Monday of this week. We continue to focus on a differentiated omni -channel strategy, where we're trying to win with the Bally's brand using free-to-play products to optimize customer acquisition, providing cost structural advantages for our interactive business. A great example of this is the 100 million March Madness Bracket Challenge that we will launch on the 7th of March, leveraging our properties, our extensive partnership with Sinclair and our Free-to-play expertise to deliver an extremely cost-effective marketing campaign. As we introduced in the third quarter, we're going to report our business with three primary segments. Casinos and Resorts, International Interactive, and North America Interactive.  So turning to Casinos and Resorts. We have a large portfolio of regional gaming assets that generate significant and sustainable cash flow. 2021 was a record revenue EBITDAR and free cash flow year. For 2021 pro formal for acquisitions completed in the year excluding Atlantic City, revenues were 983 million and EBITDA was 395 million, showing a 40% EBITDA margin. Fourth quarter gave us EBITDA of 83 million on revenues of 278 million. Excluding a say, EBITDA of 88 million on revenues of 247 sharing a 36% EBITDA margin. In the seasonally lower fourth quarter, we were negatively impacted by COVID, and the previously mentioned smoking ban in Shreveport. In addition, in response to market condition, we brought back some [Indiscernible] in November, December that caused a little upside with COVID and the impact of poor weather.  We've pulled back those [Indiscernible] in January, and the past few weeks have seen the return of strong margins. 2021 pro forma, as if all acquisitions closed at the beginning of the year, we would've had revenue of approximately $1.15 billion. Going into '22, we expect revenues to be flat or slightly up from that level, EBITDA in the range of $385 million to $395 million. We expect that Atlantic City will contribute $150 million of revenues and no EBITDA. Excluding net sales, we expect EBITDA margins to be in a 38% to 39% range. This includes the January that has $5 million of headwinds due to COVID, and particularly poor weather. Volumes have bounced back in line with expectations in February, inflationary pressures, particularly on the weight side of the main headwinds into '22. But we expect the market to be rational and continue to expect that we will maintain most of the margin guidance over 2019.  The [Indiscernible] cam of the casinos at the end of Q4 '21, was down 26% over Q4, '19, and we expected to hold at that level through '22. We have $190 million of capital expenditures in the properties in '22, with the key highlights being Atlantic City, where we'll have 750 new hotel rooms and several new amenities that will be in service by Memorial Day. At Lincoln, where we'll build our 50,000 square feet and have a significantly enhanced Asian offering. In Kansas City, the investment will expand into 2023, but provide significant upside to an already successful story with the addition of 40,000 square feet of land-based facility, housing non-gaming amenities. In addition, we will finalize the full Bally's rebranding of our properties by the second quarter. Moving to international interactive, which primarily operations in the UK and Asia. 2021, the records, revenue, EBITDA, and free cash flow.  In terms of revenue for the full-year on a constant currency basis, UK was plus 10% year-on-year and Asia was plus 18%. Tough comps in Q4 meant on a constant currency basis, UK was down 5% and Asia up 8%. [Indiscernible] the UK was only up 1%, more than 4% moved down [Indiscernible] led to a result slightly below expectations. For January our house sites came back to normal levels. Q4 average monthly active users were down 3% year-on-year while deposits picked up 4%. We continue to believe that the average [Indiscernible] size customer profile, responsible gaming standards, and a lack of dependence on VIP business puts us in a favorable position as the UK progresses of the gambling app review. We have always been and will continue to be the leader of best practices in market illustrated by our recent GamCare accreditation for their safer gambling standard at Level 3, which is the highest level any company can achieve. In Asia, in the fourth quarter revenues were plus 8%, while total handle was plus 14%, and deposits dropped by 15%. Our new year go by brand continues to take share, and during Q4, we moved to 24/7 customer [Indiscernible]. Slots is now our launches product segment. And even when you combine Live and RNG Casino. And we believe this demonstrates wider adoption of online gaming in the market. We were first mover out there, and can say that the data is pointing us to tremendous opportunities in both short and long-term. In 2021, 34% of NGO was from customers acquired over 2 years ago, and this is up in 22% in 2019 and 2020. Having a strong and growing long-term customer likes allows us to be more competitive and continuing to invest or maintaining strong growth and cash flow. In the UK for 2022, we're expecting low to mid-single-digit growth.  The H1, we have some tough COVID comps so we will expect the year on year declining flooring Q4 to be the low point. We expect Asia to deliver double-digit growth. Spain, the rest of Europe, and the rest of the world will have revenues of $50 million to $60 million compared to $68 million in 2021 due to the closure of non-core market. We expect a total revenue of approximately $1.15 billion assuming a GBP - $ rate at $1.35. Segment EBITDA margin should stay at our long-term guidance of 28% to 29%. We will spend approximately $30 million on capital expenditures consistent with the historic spend on platform development. Lastly, North America Interactive, which comprises a growing B2C operations and supported B2B operations. The business continues to grow quarter-on-quarter, $90 million in revenue in the quarter, compared to $11 million in Q3. EBITDAR losses of $8 million in the quarter, which is within the range that we expected and compared to approximately $5 million of losses in the third quarter.  Bally iCasino launched in December, and we have good momentum through January and into February. Brand awareness is strong and improving through the visibility given across Bally Sports. The North American Interactive, we project 2022 to have $125 million of revenue and a negative $60 million of EBITDA, and $30 million of capital expenditures. The capital expenditures are primarily software development costs, required for our state-by-state launches. Our corporate segment is projected to be $50 million. And our rent, which does not include any rent associated with Tropicana Las Vegas, is $46 million. We will announce additional details on Tropicana in the coming months, that we continue to be excited about the opportunity in Vegas, and we are in advanced discussions with potential development partners. We expect to be in the position to communicate our chosen partners and plans by the half year ahead of completion in early Q3.  Putting all this together, it gives us a headline net revenue of $2.4 billion to $2.5 billion and adjusted EBITDA of $560 million to $580 million. and that includes $60 million of EBITDA losses in North American Interactive. Capital expenditures include $120 million of growth capital of the properties, $60 million of maintenance plus $60 million at interactive split between North American and International, and $30 million of one-time CapEx related to integration. Prior to turning to Steve, I want to update you on our ESG assets. Gamesys was a leader in ESG in the UK and Bally's will be a leader in the U.S. Bally's had now established an official ESG committee of the board. The long-standing Gamesys Foundation in the UK has been renamed the Bally's Foundation, and will spend more than £2.5 million this year on assets in the UK. We're also setting up a foundation in the U.S.to invest in the communities that we serve.  From an ESG reporting perspective, SASB reporting moved our live in Q1 '22 and the UN social development goals reporting framework will be set in the second quarter. In the coming months, we will have a dedicated ESG section on our website. But most importantly, we're increasing our responsible gaming awareness programs across our entire company. Giving back to the community, maintaining a healthy relationships with our customers has always been a priority of our culture. Now, let me hand over to Steve.
Steve Capp: Lee, thank you. Mostly housekeeping for me. For the quarter, we reported net revenues of $548 million. This reflects a full quarter of input revenues, of course, under our new segment reporting structure. Additionally, we filed an 8-K this morning that has a recast for the past 7 quarters that should help satisfy your modeling requirements. For the quarter, adjusted EBITDA was $119.1 million is included $5.7 million loss at Bally's AC that we will continue to call out as we work through the seasonal loss profile at that property. Also in the quarter, we repurchased $87 million $s worth of common shares at an average price of just under $40. Total share count, which assumes full conversion of Sinclair warrants and options and other contingent shares, is $66.5 million and a schedule for this is included in our 10-K materials. Total debt outstanding at the end of the quarter was $3.53 billion and cash on balance sheet was just over $200 million. A few modeling assumptions, depreciation, and amortization for '22 will be approximately $400 million, which includes $265 million of purchase price amortization from the Gamesys transaction. Cash taxes will be approximately $30 million, primarily international and state taxes. We estimate our GAAP effective tax rate to be 20% for 2022. Stock compensation will be approximately $30 million. As Lee discussed, we will have $180 million of property-related CapEx with Bally's AC front-end loaded, the $60 million of Interactive CapEx is spread evenly throughout the year. The $30 million of corporate CapEx will be a front-end loaded, as well. And so with that, Operator, we are prepared to take questions.
Operator: [Operator Instructions] And we will take our first question from Lance Vitanza with Cowen, please go ahead. Your line is open.
Lance Vitanza: Thanks, guys. Thanks for taking the questions. I have three if I can. The first is the status of new UK gaming regulations, maybe we'll just start there. If you could comment on that, please.
Lee Fenton: Sure. Thank you, Lance. Unfortunately, due to the pressures really on government time, the schedules for the white paper look [Indiscernible] shifted out a little again. No one pleased about that. We are where we are. As I mentioned in the remarks, we've got a very mathematic base and relatively low spend per customer compared to others in the market. So we think we're well-positioned for potential changes that might come through the review, that it's worth remembering that whenever we faced any prior regulatory change in the UK over the past 20 years, even when it have a short-term impact on us over the midterm, 1 to 2 years. We've always been net gainers, so I continue to believe, that the further change to the regulatory landscape in the UK through the review, and of course, we don't know exactly what it will be at, will most likely consolidate share in the launch of players, and see smaller players exit the market. Indeed, we actually saw someone exit the market earlier this week, and hand back their license in the UK. So we feel disappointed that the timeline keeps shifting out, but we're expecting to see a white paper in May and typically, then, that would be 90 days consultation around that white paper. And then it would depend whether it needs and Act of Parliament to enact anything in that white paper, as to when it could have an impact on the market. If it doesn't need an act, it could be in by Q4 or Q1 of '23, if it needs an act it's probably mid to second half of 2023.
Lance Vitanza: Okay. Thank you for that, I guess, next question would have to do with New York and how you are thinking about your marketing in approaching that market?
Lee Fenton: Well, we won't think about our marketing in New York much differently other than obviously with an eye on the margin because of the tax rate, than we will elsewhere. We mentioned database cross-sale. Even though we have another property in New York today, we do actually have a fair database of New York players and that's because actually our AC database is at large with players with New York addresses than it is with players with New Jersey addresses. So we also have a large chunk of Pennsylvania players in that database as well. So that's going to be our first point of call. Will be going there and we'll be looking to leverage our digital expertise in terms of North thing that will be approaching it cautiously. And I don't think you'll see the same kind of tactics from Bally's that you've seen with other players, with very significant spend above the line.
Lance Vitanza: Okay. And lastly, for me before I jump back in the queue, is, could you just talk about how the integration of the technology is going? And obviously the Gamesys technology is key, but also some of the deals that were put together before you arrive Bet.Works, etc. How is all of that being integrated? And how would you describe where we are in the process of getting everything to really gel? Thanks.
Lee Fenton: Thank you. There's been some herculean efforts, I would describe from the technology teams over the last four months. And I think that they've done an amazing job, and it's not in -- to do all of that plumbing. it's not an easy task, right? When you bring technologies together. We've already got working now, the PAM from Gamesys, all of the data flowing and the data architecture roll out, and the sports engine from Bet.Works now actually now rebranded to evolve as part of our single platform. All of that plumbing is happening and we now can take that end to end. so whereas four weeks ago, we didn't have absolute surety on that. That is all now up and working. I think that the teams have done an amazing job in terms of pulling that together [Indiscernible].  IT is another area where we want to progress, and we'll be very focused on making sure that all of the entrant to have access wasn't just backed out works that you mentioned, but all of the other interactive businesses that are acquired pre Gamesys, all get onto the same common working platforms as well, which is incredibly important for us in joining [Indiscernible] and communicating more effectively. But I guess the short answer is, very pleased with how the technology starts coming together. It's been a ton of work from everybody. And that's emboldened us to say that we talked about launching in H1. We now we're definitely launching in H1. And we know we definitely launching in our [Indiscernible] in New York in H1.
Lance Vitanza: Thanks very much for your help.
Lee Fenton: Thank you.
Steve Capp: Thanks.
Operator: And we will take our next question from Ricardo Cantero with Deutsche Bank. Please go ahead. Your line is open.
Ricardo Cantero : Hey guys. Thanks for taking the questions. First to begin, I was wondering if you guys could comment on what maximum leverage level do you guys feel that these set of assets can withstand on a consolidated basis and on a restricted group basis. So any comment on that -- maximum leverage that you will feel comfortable having at this -- with this portfolio and do that [Indiscernible] everybody to sleep comfortably at night would be very helpful.
Lee Fenton: I think it is Ricardo. Is it Ricardo? Hi, Ricardo, thanks for the question. We're comfortable with where we are, of course. Of course, the main way that we'd like to bring leverage down is to drive our profits and drive our profit lines, but we're definitely comfortable with where we are. And Steve, if you've got any further comment on that?
Steve Capp: Ricardo, hi. Yeah, just a little bit. As we mentioned when we marketed frankly the equity in the bonds last year, this is a, we think, healthy place for this growing company to be where we are now, low 5s, if you will, cash flow leverage. We do intend to delever over time. The CapEx profile that Lee mentioned in his dialogue is less than half of our consolidated EBITDA. And obviously, we have the ability to manage that along the way as appropriate visa-v leverage. So it's never a static situation, it's quite fluid over time. But we are mindful of leverage. And we intend to work it down over time. By the way, it's a two-part equation, there's debt and cash flow side. As North America Interactive ramps into 2023, that leverage will be impacted favorably, as well as our recovery we think from Omicron setbacks in 2021. That's all I have, Lee.
Ricardo Cantero : Perfect. If I could squeeze one in on the interactive front, it seems like your expectation for the burn is going down from $80 million to $60 million. Is this related to timing on launches, getting into 2023, or is it more related to you guys being more conscious in some of your assumptions, particularly now that some of your peers might be recurring to lower media spend.
Lee Fenton: I will tell you little bit of both. Yes, it's partly timing and partly us just being cautious in terms of where we want to go on the build-out. And partly indicated a little bit by the positive cross-sell moves that we've had from Bally iCasino in New Jersey. That's kind of the good news. It's early days there, but we're comfortable with the guide to $60 million.
Ricardo Cantero : That's all I had. Thank you so much.
A –Lee Fenton: Thanks, Ricardo.
Operator: We'll take our next question from Dan Politzer with Wells Fargo. Please go ahead.
Dan Politzer: Hey, good morning guys. And thanks for taking my questions. I guess first, on some of your real estate that you own at your casinos, can you walk us through? Are there any properties specific nuances that would limit flexibility for sale we expect? And I ask that about Rhode Island, where I know you just renegotiated something this past summer that gave you more flexibility. Are there any other properties that are encumbered, and maybe, I guess, can you talk about what -- is there anything special about Rhode Island that will limit flexibility?
Lee Fenton: George, can you pick that one up?
George Papanier: Sure.
Lee Fenton: Thanks.
George Papanier: Hey, Dan. Our Taco property is currently under a lease arrangement. Other than that, well, we have the ability to monetize any of these -- any of the other assets. As far as -- and obviously, that will be depending on our strategic plan going forward. In Rhode Island, there's really nothing, especially as part of the previous legislation that was passed for IGT, that prohibits us from monetizing any of those properties through sale leaseback.
Dan Politzer: Got it. And then just switching to North America Interactive. Your Chairman recently spoke about some challenges that are well-known out in the market. How do you view the opportunity to gain share? Is this something you're going to chip away at over time, or are you going to make a big splash with a large media campaign? And does this strategy coincide with the reduction from the $80 million burn to $60 million?
Lee Fenton: No there was never a big brash media campaign where we were going to plow tens and tens of millions into that. And it is something where we will chip away overtime and we will leverage the assets that we have. We think we have some phenomenal assets, and strategically made the right choices in terms of trying to create a differentiated customer funnel. We have a long-term deal with Sinclair.
George Papanier: which 1. Gives us legitimacy in sports. And 2. I think it makes the Bally brand very evident. And we think we can leverage that a lot further. And we've got significant Free-to-play capability, which we help -- which we believe helps maximize that funnel. So -- well, I don't know if I like the phrase chip away over time that gain steadily, incrementally, and sustainably over time is probably where I would place us rather than the big all out media campaigns.
Dan Politzer: All right, that's fair. And just if I could squeeze in one more quickly. The special committee, is there any expectation for when investors can expect an update on how things are kind of progressing there.
George Papanier: Dan, I can't say any more than build on what's already been released. We formed the special committee of the Board. They will be considering the proposals. I think it was announced the other day that they've appointed advisors now. So those advisors need to do that work and consult back with the special committee and there's no set timing that I know of or can give you now.
Dan Politzer: Understood. Thanks so much.
George Papanier: Thank you.
Operator: We will now take our next question from Jeff Stantial with Stifel. Please go ahead, your line is open.
Jeff Stantial: Great. Thanks for taking our questions. It's great to hear from you all again. Apologies if I missed this but I wanted to talk to the North America losses on the online front a bit more. As it stands with your current roll out plan, do you have a sense yet when you might see the peak from a quarterly EBITDA loss perspective, and how are you thinking about the timing to inflect EBITDA positive, all things considered?
Lee Fenton: In terms of the guidance, we've said, probably $60 million in '22. We would expect that to probably repeat in '23 as we roll out into further states. And in terms of getting to profitability, obviously, we're early into this, so that has some challenges and to change along the way. But we would expect to get to profitability at some point in 2024.
Jeff Stantial: Okay, great. That's very helpful. Thank you. And then for my follow-up, I wanted to touch on the prospects, a follow-up on Dan's questions on more real estate monetization here. We've seen some favorable cap rate comps out there more recently, and there's comments from your Chairman suggesting there's potentially some value not being realized in your portfolio, on the real estate front by the public markets. All this considered, has this changed your view on potentially monetizing some of your wholly-owned assets or do you still view this most as a financing mechanism to fund more inorganic growth on the brick-and-mortar front?
Lee Fenton: I mean, listen, you've seen us do something that's some settle our lease back over time. We tended to do it when we got a strategic reason to do it. And I think that remains to be our outlook. That is a big asset that we hold within the portfolio. Some of our properties are earning encumbered. We'll look at it, but we'll predominantly look at it when we've got something strategic that we think we can leverage off the back of it.
Jeff Stantial: Perfect. That's all for me. Very helpful. Thanks.
Lee Fenton: Thanks, Jeff.
Operator: [Operator Instructions] And we will take our next question from David Katz with Jefferies. Please go ahead.
Cassandra Lee: Hi, this is Cassandra asking for the team. Thanks for taking my question. I just want to hear [Indiscernible] on the bid for a downtown Chicago license. When can we expect a decision from from the city?
Lee Fenton: So the date in terms of decision from the city is pushed out a little bit. So we're now expecting a decision in April. It was -- previously that was expected in March. We continue our dialog. We continue to be excited about the opportunity as long as it's on the right terms. And -- but we're expecting a final decision come April.
Cassandra Lee: Got it. And for [Indiscernible] Los Vegas. I assume that will also be re-branded once the acquisition close. Can you talk about maybe potential capital requirement there and update on the strategic plan for that property.
Lee Fenton: So we're not going to do that today, Cassandra, because as I mentioned in my remarks, we're in a number of discussions with development partners. Very excited about the potential opportunities, but we're not actually in a position today to say what those plans are. We said we will confirmed those plans before the end of the half year ahead of completion on that property key trade.
Cassandra Lee: Got it. Thank you very much.
Steve Capp: Thank you.
Operator: We will take our next question from Barry Jonas with Truist Securities. Please go ahead.
Barry Jonas: Hey, guys. Good morning. Wanted to start with our share repurchases. There is a nice level in the quarter, how are you thinking about that going forward?
Lee Fenton: Thanks, Barry. So we obviously, put in a fair amount in the run-up to the end of the year. We continue to keep that in mind. And we continue to look at that on a basis alongside other opportunities for our cash investments. But right now, we're not active in the market and we'll see how we go from here.
Barry Jonas: Great. Then shifting to Gamesys, you talked about customer acquisition reset in December, which I believe is the Google auction. Just how should we think about that going forward.
Lee Fenton: We have had somewhat of a bounce back. So our trend line in the UK has been somewhat consistent with our payers as we pass through some very tough comps. We were further impacted by that house edge that I mentioned, which was actually the second lowest quarter ever on record for us. And then we saw the cost of acquisition, inflation, and the Google auction in the second half of '21. And we decided, let's be -- we wanted to be disciplined in that spend and not chase, and you saw a bit of that impact from revenue in Q4. We're very happy with current trends in the UK. We're back at where we would expect to be in terms of levels of acquisition. So I don't think that -- you can't say it's not going to happen again, that it's not happening currently and so we're back on track in terms of where we would expect to be in terms of levels of FTDs and the spend to achieve them.
Barry Jonas: And then if I could sneak one in. I recently had the opportunity to see Twin River Lincoln and we're hoping to get more color on the construction there, maybe your thoughts on ROI and really the player base you're targeting. Are you looking to reclaimed some lost business or do you expect you're going to significantly grow the market. Thanks.
Lee Fenton: Yes, thanks, Barry. So clearly, a big Asian focus there. That maybe George is super close to that maybe, you want to comment.
George Papanier: Sure. So we broke ground on this project in September, which will again extend the gaming floor by 40,000 sq. ft. It will also allow us to create what Lee referred to, and what we're building as a destination Asian targeted gaming and amenities. Which will include an Asian food hall, a feature bar, signature water feature. We had a topping off ceremony at the beginning of February. Additionally, we are going to be adding 14,000 square feet of Korean spa, and that will be constructed within our hotel where we already have 4,000 square feet that is vacant. We expect everything to be online for Thanksgiving in 2022.
Lee Fenton: It's a bit of a defensive strategy, but clearly, it's to reintroduce customers that we feel have split trips with primarily Encore that we'd like to recapture back into providing more visitations to us.
Barry Jonas: Perfect. Thanks so much, guys.
Lee Fenton: Thanks, Barry.
Operator: There are no further questions at this time. I will turn the call back over to Lee for any closing remarks.
Lee Fenton: I'd just like to thank you for your time this morning, and thank you for your continued attention on the business. I think we've got a tremendous opportunity with the assets that we pulled together over the last 24 months of Baly's. And we're only really just getting going in terms of realizing what they can do once combined. So thank you for your time and I wish you a great rest of day.
Operator: Goodbye. Thank you. And this does conclude today's program. Thank you for your participation. You may disconnect at anytime.